Operator: Good afternoon, and welcome to the Grupo Bimbo Fourth Quarter and Full Year 2023 Results Conference Call. All participants will be in listen only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Daniel Servitje. Please go ahead.
Daniel Servitje: Good afternoon, everyone. Thank you for joining us. Connected on the line today is our CFO, Diego Gaxiola; our COO; Rafael Pamias; and Mark Bendix, Executive Vice President for North America and several members of our finance team. 2023 was a great year with historic financial performance. We reached $22.5 billion in net sales and $3.1 billion in adjusted EBITDA, and we posted a 9% 10-year compounded annual growth rates, respectively. We made record CapEx investments of $2 billion, grew our brands through innovation and replication initiatives, strengthened our revenue growth management capabilities, completed 6 acquisitions, issued $1.8 billion, including our first sustainability-linked bond in Mexico, and strengthened our debt profile. Regarding our sustainability strategy, we closed the year with 27 countries out of 34, operating with 100% renewable electricity. And we were recently recognized with an A rating by the Carbon Disclosure Project for our actions to mitigate the effects of climate change. I am very proud of the dedication and hard work of our associates who have worked tirelessly to overcome the headwind of this challenging global environment. Specifically for the fourth quarter, despite the effects of a very strong Mexican peso, we have increased but moderated inflationary pressures. The calendar effects of having an extra week in North America in 2022 and the MEPPs noncash benefits registered also in the fourth quarter of 2022, which makes the comparison in some metrics tougher. We were able to reach record levels for net sales, of course, excluding the FX rate impact, and we were able to maintain our EBITDA margin at 13.4%. Now looking into 2024, while we continue to see the benefit of lower commodities, this year will be marked by a transitional phase as we navigate through a diverse consumer environment, witnessing a blend of cautiousness in certain markets and resilience in some others. Emphasizing the significance and importance of diversification, our company is strategically positioned to navigate this environment. Throughout the year, our commitment to growth and improving our profitability will manifest through continuous investments in CapEx projects fostering both expansion and productivity initiatives. And a key focus will be on restructuring investments in countries such as the U.S., in line with our proactive approach to identifying opportunities that resonate with our philosophy and strategy to be a sustainable, highly productive and [indiscernible] company. Diego will share more details on what we expect for this year. At a time when we are gradually seeing global normalization of costs, inflation and consumer demand, let me show my deepest appreciation to our associates for these 4 years of outstanding effort and resilience. It is thanks to them that this company is 37% bigger in peso terms and even more so in dollar terms and has delivered 2.2 percentage points additional EBITDA margin. We are well positioned to pick the away from home trends that is happening in countries like the U.S. with our food service and QSR division, which grows strongly across the market with double-digit growth rates in several of them. We will also continue to work on becoming stronger in our healthier offerings with our laser focus in RAIN-based solutions. In fact, today, 42% of our sales have a healthy profile. Now looking into the results by region for the fourth quarter, North America top line was slightly positive if we exclude both the FX effect and the effect of the 53rd week in 2022 mainly because of a positive price mix effect from the previous year across the region. The food industry has been facing consumption headwinds from consumer pressure. As we look ahead, we expect some of this pressure to dissipate particularly as a result of lapping the reduction of SNAP benefits. We are excited about our innovation, particularly in breakfast heated goods and sliced bread. We have received positive feedback as we have gained also traction. Adjusted EBITDA margin contracted 130 basis points, mainly to the effects of the strong peso impacting product costs imported from Mexico and a continued but moderating inflationary environment. We continue to evaluate and optimize our assets, ensuring we have the capacity needed to meet the customer and consumer demands. As such, we have announced the closure of a bakery in Algo Turkey, New Mexico, U.S., and registered restructuring expenses as a result of that. In Mexico, sales improved by over 6% due to the positive price mix performance. We experienced double-digit leverage in the convenience and retail channels. In fact every channel and category grew as a reflection of a strong execution at the point of sale. Adjusted EBITDA margin strongly expanded 240 basis points, reflecting a strong sales performance, lower commodity costs, lower administrative expenses and the onetime write-off registered in the fourth quarter of 2022 related to a prepayment to a supplier. In EAA, excluding FX effects, sales increased more than 12%. This was mainly due to good performance in local currency in almost every country, most notably in Bimbo QSR, coupled with the inorganic contribution from the acquisition of Vel Pitar in Romania. And remember that this will be the last quarter that we have this effect. Adjusted EBITDA margin contraction of 150 basis points resulted from soft results in China, which is already undergoing a turnaround process in our branded business. This was more than offset by the good sales performance and efficiencies in our distribution network. I would like to share with you that we successfully completed the acquisition of Amaritta Food in Spain, a company that specializes in research and development for gluten-free bread. This acquisition will enable us to continue gaining know-how in this category and lever from this technology and capitalize it in growth of that high-growth potential in that market. Moving on to Latin America, excluding FX effects, net sales increased 7% as a result of strong results in Brazil and our Latin Sur division, most notably Argentina, Paraguay and Peru. Adjusted EBITDA margin was affected by the devaluation in Argentina and social disruptions in Panama and Guatemala as well as a challenging competitive environment in countries like Chile and Colombia. The latter also impacted by a consumption tax implemented recently. We are working on maximizing consumer value and meeting their needs by continuing to strengthen our brands through innovation and differentiation as well as focusing on operational execution and cost discipline. I would now like to turn over the call to Diego, who will walk you through our financials. Please, Diego, go ahead.
Diego Gaxiola: Thank you, Daniel. Good afternoon, everyone, and thank you for joining us today. 2023 was an excellent year. At the beginning, our performance benefited from the carryover effect of the pricing strategy implemented in 2022. In addition to this, results were impacted by nonrecurring factors, such as the extra sales week in North America, the translation impact of a stronger Mexican peso and the noncash net benefit that we recorded also in 2022. Despite all these challenges, we reached record level sales and adjusted EBITDA and expanded our margin by 30 basis points, showcasing the strength of our diversification, reinvestment efforts and long-term perspective. It is important to note that excluding the FX effect, which we never anticipated the peso was going to be so strong, we were able to reach our guidance. Our net sales increased low single digits and our EBITDA margin expanded as it was expected. There were 2 important components to achieve our results on the profitability front. One, we were able to maintain our gross margin as we experienced an ease in commodity prices in the second half of the year, most notably in the fourth quarter. And second, Mexico had an extraordinary performance with an important margin expansion as we continue to capitalize on our commercial strategies and cost-cutting initiatives. Our operating income was impacted by the $963 million net noncash benefit that we booked in 2022, and to some extent, other restructuring expenses we had in 2023. As a result, our net majority income declined 67%. But excluding the MEPPs and Ricolino effect, it had a slight decline of less than 1%. Remember that going forward, there will be no significant movements related to the net concept. We had another year with record levels of CapEx with USD 2 billion, which is in line with our initial guidance for the year. We completed 6 acquisitions throughout the year: 1 in Romania, 1 in Canada, 2 in the U.S., and 1 in Switzerland and 1 in Spain as we continue to proactively look for these opportunities to complement our global profile. As a result, we closed the year with a level of net debt to adjusted EBITDA ratio of 2.1x, and our total debt closed at MXN 110 billion. The increase in our debt position when compared to 2022 was also due to the accounting impact of the refinancing of the perpetual bonds completed in the first half of the year. our record CapEx investments and other strategic investments, including bolt-on acquisitions. It is worth noting that at the beginning of the year, we were operated by the 3 rating agencies, reflecting our commitment to investment grade, our solid business position, a strong financial profile, and our long-term view. During 2023 and the beginning of '24, we have been very active in the financial markets with the issuance of more than $3 billion through different instruments. We deeply thank our investors and financial institutions for the trust placed in us in these transactions. With this issuance, we improved our debt profile. We now have an average life of 12 years and closed the year with a solid capital structure at 2.1x net debt-to-EBITDA. Working capital, including inventories, clients, tax receivables, and suppliers increased by MXN 7 billion. This was mainly due to recoverable taxes in Mexico, incremental accounts receivables as well as inventories. Now I would like to provide some visibility on what we are expecting for 2024. For the top line, we expect an increase between low to mid-single digits as we continue to invest behind our strong brands, deliver accretive innovation to our consumers and leverage the power of our frontline execution. For the adjusted EBITDA, we expect to have a growth of low to mid-single digit. We will see some tailwinds this year coming from commodity prices. coupled with productivity benefits from past restructuring and capital investments. We will continue to optimize our portfolio, improve the efficiency of our supply chain and digitalize our business, which will enable us to expand our margin in the long term. So as you can see, we are expecting a flat to a slight margin expansion for 2024. For this guidance, we're estimating a similar effect from FX conversion to the one in '23, which means that we are considering an average exchange rate of MXN 17.75. On a more detailed note, the first half of '24 will be more complicated. In fact, several metrics were at record levels, including sales growth and EBITDA margin expansion, which was 40 basis points in the first half of last year. So for the first half, we expect a slight margin contraction. And for the second half of the year, we expect to see a higher top line growth and a recovery on our margins. We expect CapEx investments slightly below from what we invested in 2023 in the range of $1.8 billion to $2 billion. This level of investment is part of our strategic plan, and it also considers a carryover effect of projects that we already started in 2023 as well as the required investment to capture the opportunities that we see in some markets. This level of spending is in line with our long-term strategy to increase capacities where needed, strengthening our core capabilities while enabling productivity and digitalization projects across our different operations. We are confident in our abilities to achieve this growth and margin in 2024. As you know, we continuously and proactively look for opportunities to improve our value chain and enable sustained profitable growth. As such, this year, we will begin to implement a transformational program designed to improve our North American business and ultimately reach our full potential. We strongly believe these investments will better align and focus resources to drive growth and protect profitability while continuing to create long-term value for our shareholders, as has been the case with past restructuring initiatives. We can now proceed with a Q&A session, please.
Operator: And our first question comes from Renata Cabral of Citigroup.
Renata Cabral: I have two from my side. So the first one, it is about if you can give us some color about the specific U.S. region in terms of potential trade now for prior labels and the outlook for price increasing. And my second question is about the opportunities you see for out next overall in several geographies.
Mark Bendix: Thank you for the question. This is Mark Bendix. I want to address your questions about what's going on in the U.S. and the trends. So volumes in our branded categories have been soft, but we anticipate that trend to change. Organic sales growth will be stronger in the back half as the laps get easier as we get into the back half of the year. Some of the consumer pressures that Daniel talked about have existed with the elimination of the stimulus benefits, resumption of student loan payments impacted us in the back half as well and which both of those will provide year-over-year benefit in the second half of 2024. As a DSD company, we have an advantaged speed of execution. And while we have driven a lot of productivity in our operating expense, we're also simultaneously investing in operating expense to drive distribution and growth in the business, which will improve some of the trends. We see the categories rebounding in the second half mostly and the headwinds that we have on commodities limited in the back half, and we continue to invest in pull marketing to ensure that we resonate with consumers. We're also ensuring our investments enable us to be where the consumers are. With growth in the away-from-home channel, coupled with growth in mass and club, which will be with the consumer shop
Daniel Servitje: Do you want to take the other part of the question, Rafael?
Renata Cabral: It is about if you can give some color about the opportunities you see for Suavicremas.
Rafael Pamias : I couldn't hear you properly, excuse me, Renata.
Renata Cabral: [indiscernible] in the region.
Rafael Pamias : In the region, yes. I will take this one. Can you hear me now?
Renata Cabral: Yes, perfectly.
Rafael Pamias : What we have seen is that our portfolio is well received in many geographies in America, but also in Europe and it has been a positive note for 2023. So we expect to keep investing on capacity and also on promotional programs to make those products more aware, both in distribution, also in consideration mental and physical availability. So we feel that we're going to have a positive year again on Suavicremas, and that will be also a positive contribution to our overall equation. So we feel happy and comfortable for what's in store for us in 2024 in Salt snacks.
Operator: The next question comes from Alvaro Garcia of BTG Pactual.
Alvaro Garcia: Two on my side. One, I was wondering if we could explore private label in Mexico. I know it's not talked about a lot. I know it's very, very, very small and theoretically, your level of share and your absolute level of pricing should not make it easy for anyone that's trying to compete in private label, but I was wondering if you've seen any action on that front and if we should be worried going forward? That's my first question. My second question, I have to ask about the restructuring in the U.S. If you could just give us a bit more color on, I believe it was Albuquerque, Mexico, the plant and maybe any guidance from a financial standpoint, what we could expect in '24 and '25.
Daniel Servitje: Yes, very shortly. In private label, we offer our customers that alternative in many countries. The private label business in Mexico, as you mentioned, is offered to some of our customers, and we provide the product and in some cases, also the service. It's doing well. Not much more to comment, but it's a small part of the business. The second part of the question, Alvaro. So we are always actively evaluating and terminating the best-in-world practices. And we have a footprint in the U.S. that is a lot of local bakeries and a lot of acquisitions. So we'll continue to look at specific opportunities that we have to optimize our footprint always. I won't go into anything specific, but know that we're making investments in our business and our decisions to better serve our retailers and to continue to deliver high quality and order fill for our consumers and customers. So it's always in play for us, and we're always looking to optimize our footprint in the U.S.
Operator: The next question comes from Ulises Argote of JPMorgan.
Ulises Argote: One follow-up there to Alder's question. Maybe is there any way that you could quantify for this quarter, how much was that impact from the closure of Alberquerque, if it was something that was relevant just to frame things a little bit there. And the other one is on the sequential pressure that we saw, I think across the board, we're particularly focusing on the Mexico operations. Can you elaborate a little bit there on the reasons of why that little bit of a weaker sequentially margins there?
Diego Gaxiola: Ulises, this is Diego. In terms of the impact either from the closure of the plant or the other initiatives that we had to recognize and that we were able to find during the fourth quarter. Unfortunately, we do not disclose the specific number. I can tell you that if we've had some impact for the North America margin, particularly in the quarter. If we were to see this on an annual basis, it's a little bit less. And also at the Grupo Bimbo level is not so material. But again, we do not disclose those specifics. I'm sorry, Ulises, could you repeat the second question, please?
Ulises Argote: Yes. The second one was just more on the sequential evolution of the margin in Mexico. So there was a little bit of pressure there, kind of sequential is just trying to understand a little bit better the recent ended.
Diego Gaxiola: I don't know if I'm getting right your point of view. But in Mexico, we had an increase on our margins.
Ulises Argote: Year-on-year, but sequentially, it was a little bit weaker than the third quarter of '23.
Mark Bendix: If you want, I can answer on the variable margin. Q4 posted a very high variable margin, the highest of the year and the highest of the last 2 years. This meaning that we are beginning to profit from lower commodity and the fact that we are not any longer pricing for cost but beginning to pricing for value, meaning that we are increasing our price realization. And if you want to complete that Diego but we're actually happy with the trend of our gross margin in Mexico. And Q4 was very good news for us, and we expect that to continue next year.
Operator: [Operator Instructions] And our next question comes from Federico Galassi of TRG.
Federico Galassi: Just to clarify Diego, you mentioned flat margin in plateau slightly increase in margin in the EBITDA side. If we look at the gross margin, in particular with the lower price of commodities and your hedge of 6, 9 months, we can expect some increase in operating margin in the next year offsetting from the SG&A.
Diego Gaxiola: Yes, as I mentioned, for the EBITDA, we do expect to have a flat to a slight margin expansion in the full year. As for gross margin, we do expect to see an increase. There are some tailwinds that we will have, including lower commodity costs. Of course, we continue to see inflation in some other lines, particularly in expenses, which is not considered in the growth expansion and also the restructuring initiatives that we have in the plan to be executed in 2024 will have an impact on expenses, not on the cost of sales. So what we can expect is a lower cost of goods sold with incremental expenses in order to reach a flat to a slight margin expansion in EBITDA
Federico Galassi: And the second question, if you can elaborate a bit more in the market in U.S., how do you see the consumer? Do you believe that there is room to continue to increase prices on the continue to be high in particular in private level?
Diego Gaxiola: So it's a dynamic market for sure in the U.S. And broadly speaking, we did not increase prices in the U.S. in 2023 as we've been experiencing a more price-sensitive consumer. So we're looking at our pricing [indiscernible] we've got to remain competitive and relevant to consumers.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Daniel Servitje for any closing remarks.
Daniel Servitje: Well do you hear me?
Federico Galassi: Yes.
Daniel Servitje: Thank you all for your time today, and please do not hesitate [indiscernible]
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.